Yoshitaka Kitao: Without further ado, we have about 170 pages of materials, so we will just skip some pages only of figures. We would like to finish this briefing in less than two hours. So it’s about the results announcement, but I know many of you are here for other purposes. But basically, this is the briefing of the results. So that’s what I’m going to talk about first. So for FY 2024 consolidated results, the revenue, ¥1,443,733 million or up 19.3% year-on-year. By the way, our consolidated results are on the IFRS basis. So the pre-tax income was the ¥282,290 million or up 99.4%. And the net income for the period, ¥189,158 million up 66.5%. And the property attributable to owners of the company, ¥162,138 million up 85.8%. Our ROE exceeding significantly our target of 10%, reaching 12.8%. This is up 5.8 the percentage point. This is the comparison apple-to-apple among consolidated profits among major securities companies. The Nomura is still ahead of us, but we are ahead of Daiwa Securities. It will be rather difficult, strange to talk about the winner or losers, but the other CNBC, NIKO and Mitsubishi UFJ numbers are shown here. Now, by segment, the biggest segment, Financial Services Business, ¥1.2 trillion and we have the profits of more than 30% up with the ¥225,369 million. And the Asset Management business, the income of the ¥5 billion, the ¥447 million or up 12.5%. And the PE Investment business, which used to be the investment business. It’s just a name change. And here, the other pre-tax income increased with ¥67.1 billion. And the other Crypto-Asset business, finally, we hit record highs, both for revenue and the other profit. The revenue is ¥80,797 million and the pre-tax income, ¥21,220 million or up 151.8%. Next Gen business revenue hit the record high, but the pre-tax income is still in the red and the five other business is already operating in the black numbers, so they’re targeting at the IPO. As to the Next Gen business, when it comes to Web3 business, it’s still running in the red. And the dividend, up ¥10 year-on-year and in the last year that we had, the 25th anniversary since the company’s founding, so ¥130 and for FY 2024, ¥140. The actual year is ¥170. Payout ratio is 31.7%. Basically, a company’s shareholder return idea is as follows. This other Financial Services Business is growing relatively steadily in manner. And without the extraordinary factors such as gain in sales of subsidiary stocks, we set the total shareholder return ratio at 30% and the absolute amount will be ¥51.5 billion and minus ¥168.7 billion. These are the special factors and the result is 30.5%. The shareholder benefits, as you can see here, it’s a very generous benefit for shareholders. The especially interesting part is this is what Asakura-san started to do. XRP. You can choose XRP or ¥5. If you have more than 1,000 shares for more than one year, then ¥8,000 or so. If not, ¥2,000. As a result, if you get XRP, then on the weighted average basis, because we provided XRP 5 times and then the value is now 7 times than the acquisition value. So it has produced very strong results. So by segment, Financial Services Business, as I mentioned earlier, the revenue increased by about 10% and the pre-tax income ¥225,369 million or up 30%. In this segment, especially Banking business grew very steadily, up 34.6%. Securities business, as you know, with the other ZERO Revolution, even after that revolution, the other revenue and profit have been growing. Everyone is making the concerted effort, and I’m valuating the result very highly. Insurance business, it just happens that the pre-tax income is down 9.7%. But for FY 2020, sorry, because of the special factor, because of the selling of the past assets, which amounts to ¥1.1 billion, and it was the book in the FY 2023. So basically, the profit is increasing. The Other Banking business, SBI Shinsei Bank, SBI Sumishin Net Bank, SBI ARUHI, and other overseas SBI entities. Here, as you can see, SBI Shinsei Bank on the JGAAP basis, revenue up 11% and ordinary business profit exceeding ¥100 billion, marked significantly, with ¥130 billion, up 27%. Pre-tax income, ¥99.4 billion, up 58%. And net profit attributable to owners of the company, ¥84.4 billion, up 45%. And on IFRS basis, the SBI Holdings intake basis, ¥82.1 billion or up 44%. SBI Sumishin Net Bank, our equity is 34.21%. On the JGAAP basis, ordinary profit, ¥38,190 million or up 9.6%. And our IFRS intake basis by the holdings, the ¥6.436 million or up 44.3%. SBI Savings Bank in Korea, using IFRS basis, up 45%. As you know, the Korean economy is damaged quite significantly. In addition, Trump’s tariffs will be added to that. But we could increase IFRS pre-tax income by 45%. Why is that? Because I prohibited to make any investments in real estates. Because I know that, I assume that in Korea, such investment will not bring about good results. So this is a good result and other savings banks were damaged by such investment. And the delinquency, 4.6%, down from 5.6%. Equity ratio hit the record high at 17.81%. Financial Services Business, the Securities Business. SBI Securities, SBI Liquidity Market, SBI FXTRADE, SBI MONEYPLAZA, PTS operating companies, and overseas securities subsidiaries. First, on the JGAAP basis, SBI Securities operating revenue, which is the revenue, up 17.4% at ¥238,867 million. And the operating income, ¥77,128 million, up 12.3%. Ordinary income, ¥76,625 million, up 10.3%. Profit attributable to owners of the parent, ¥47,865 million, up 1%. Achieved the record high profits despite external losses of ¥7,200 million during second quarter to the fourth quarter due to provision of reserve for financial instruments transaction liabilities. Without the revolution, ZERO Revolution, zero commission, what will be the result? About ¥38 billion or so addition to the revenue, as well as to the profit. So what has covered that shortfall? That is the diversification of the revenue sources. It more than compensated for the lost opportunities. And, of course, with zero commission, we saw increase in the number of customers and some customers, number of customers doing margin trading will increase in financial revenue, trading revenue, as well as commissions will increase. And so with that, we could maintain the upward trend of the profit, the open interest credit balance and the financial revenue, as you can see here. So it went down below the ¥2 trillion temporarily, but as of the end of March, it went up over to the ¥2 billion, ¥2 trillion, rather. And for the financial revenue, the ¥24,711 million for the first quarter and that is 31.5% increase. And the commission income from foreign stocks reached the record high with the very Brisk Tradings. As you can see, up 52.2% for spot trading and 2.3 times for margin trading and trend of commission income foreign stocks. With FY 2023 being 1, it went 1.43 for FY 2024. The trading revenue, especially FX trading, hit the record high at ¥57,450 million. With the revolution, we saw increase in the number of customers, FX-related customers increased as well. On the left-hand side, number of accounts among five major FX trading companies, SBI Group number has been increasing steadily, and customer margin deposit among FX trading companies, GMO, seems to be increasing as well. But as you can see, GMO CLICK Securities, GMO Gaika, and in September 2021, the formerly GaikaEX by GMO, who joined the GMO Group in September 2021, that is GMO Gaika. And the combination of those numbers of those entities, that’s why they saw increase. And here, the trust -- investment trust fee increase hit the record high and the investment trust fees as well. IPO underwriting share, and from April 2024 to March 2025, there were 83 companies IPOed, and we participated in the 76 cases or underwriting share of 91.6%. It has been the top ranking the -- for three years and the PO underwriting business is also increasing with 18 PO underwritings, and the utility bonds is also increasing. There are some references coming to us, insurance, the business group, SBI Insurance, SBI Life Insurance, small-amount short-term insurance companies, LY HOUR, iDeCo [ph] and the SBI Insurance, Kyobo Life Insurance. This is the latest deal with our equity of more than 20%, equity method company. And before that deal, we already hit the record high for ordinary income, ordinary profit and profitable to a parent of the company as well. As to the number of in-force policies, from March end of 2016, we saw 15.2% CAGR to the latest number. As to the Asset Management business, SBI Global Asset Management, SBI Asset Management, Wealth Advisor, SBI RHEOS HIFUMI, SBI Okasan Asset Management are included here. The revenue hit the record high at ¥33,811 million, up 14.8%. Pre-tax income at ¥5,447 million, up 12.5%. So consolidated results of SBI Global Asset Management on a JGAAP basis is all here. All were record highs for revenue. We saw an increased 13 consecutive periods, achieving a record high for the sixth consecutive period, and ordinary profit increased for the 16th consecutive period, achieving a record high for the 14th consecutive period. This doesn’t happen for many other companies, so the asset managed business is doing well as well. SBI RHEOS HIFUMI and SBI Okasan Asset Management are also performing well. SBI Groups AUM reached ¥10 trillion. We are targeting an AUM of ¥20 trillion by the end of fiscal 2027 through organic growth and M&A, we are determined to achieve this target. For the PE Investment Business, Private Equity, like mentioned earlier, profit before income tax, it was ¥67,188 million because of the increase in unlisted securities. Ripple Lab is held as unlisted shares. The value of XRP held an escrow by Ripple Lab will not be included in the corporate value until a clear valuation is determined through an IPO or other means. If it is included, the profit will surge and will be an extraordinary amount. Later on, I would like to talk about this a little more. For IPO and M&A track records, for fiscal 2024, there were 20 IPOs. For this fiscal year, we are planning for 25. So Assets Under Management for Private Equity was approximately ¥900 billion. We would like to bring it close to ¥1 trillion as soon as possible. For the Crypto-Asset Business, like mentioned earlier, this is a record high in performance. Ever since Mr. Trump was inaugurated, the U.S. has been putting a lot of emphasis on the Crypto-Asset market, which we are grateful for. I was expecting this to happen sooner or later. So the reason why we invest -- that did invest into Ripple more than 10 years ago, which is now generating a huge amount of unrealized profits, if listed, the unrealized profits are going to be unlocked, and I’m sure that it will easily exceed ¥1 trillion. So this is something that may happen. And for profit before tax, it was ¥21,220 million. So for the Crypto-Asset world, if it were to expand, we will see more distribution, and the market makers for Crypto-Assets are going to become necessary. I thought it was a little too early to advance into these segments, but it wasn’t. So we only invested ¥9 billion in acquiring a company called B2C2 in the U.K., and there are several companies that want to buy it for more than ¥100 billion. And people were saying that we were keen to sell it to Bloomberg, but no, we don’t have any intention to sell this entity. For the Next Generation Business, for 5-ALA-related businesses, it has secured a profit. And in cutting-edge technology areas as Web3 and digital assets, some Machinowa Holdings started to secure a profit. This is with Kyushu Electric Power Company and Chikuho Bank. It is a JV. It started from Kyushu and is rolling out its operations nationwide. So nationwide, these regional currencies, we are striving to expand the number of currencies, as well as the Expo as well. So from here on, I would like to talk about our New Medium-term vision, as well as the measures we are thinking about in order to realize this vision. So the vision for the 30th anniversary of our founding, New Medium-term Vision Targeting Fiscal 2028 is the title. So as of March 2019, we were at our 20th anniversary, and as of March 2024, we were at our 25th. The customer base for the group doubled to ¥50.5 million. Net sales increased by 3.4 times. A number of employees were 6,439, but increased by 3 times to 19,097. Number of consolidated subsidiaries used to be 259, but went up by 2.8 times to 721. Number of listed group companies went up by 3.6 times. It used to be five, but increased to 18. Paid in capital. At the time of founding, we started with a mere ¥50 million. At the 20th anniversary, this increased to ¥92 billion, and at the 25th, it doubled to ¥180 billion. For net assets, we reached ¥1,262 million, which was 2.8 times more. And for market cap, ¥1,192 million, which is twice as much. For market cap, from my point of view, it is so cheap. People do not understand our company. That’s how I feel. Because our business is developing so quickly and all types of formats, as well as financial operations are in our group. There aren’t as many people who understand our operations. Even our employees do not understand our entire business. So maybe general investors do not understand our business perfectly. Not many people understand us that much. So for the customer base, we are at 54.42 million, and the number of customers continue to increase. So regarding our vision for our 30th anniversary, for KPIs, for the customer base, we would like to reach 100 million. And for consolidated profit before income tax expense, from ¥282.3 billion, we would like to increase it to ¥500 billion. The share of overseas business in consolidated profit before income tax expense, from approximately 17%, we would like to increase it to 30%. For ROE, like mentioned earlier, 12.8% are our results, and we would like to increase this to 15%. So this is our New Mid-term plan vision. So for the 20th, 25th, and 30th anniversaries, for the customer base, it has been growing by 100%, and we are assuming that it will grow another 98% for the 30th. And for consolidated profit before income tax expense, it grew by 70.5%, but from the 25th to 30th, we expect it to grow by 253.2%. Considering our earnings base and customer base, as well as our funding capabilities or our unrealized profits, when you think about all these aspects, I think it’s going to become far easier to grow our profit base even more. The share of overseas businesses in consolidated profit before income tax expense, from approximately 22%, we would like to increase it to 30%. I think we are going to enter a full-fledged expansion phase for the overseas business. For ROE, we are striving for 15%. So I just talked about the new vision. How are we going to realize them? What are the key initiatives? First, we need to have a good foundation or else. So for this foundation, it’s the customer base that we’ve been expanding so far, the business assets and financing capabilities built over the years. And by fully leveraging the evolved ecosystem, the SBI Group will strengthen its business platform. For the digital space, as a new area, we are starting to see more expansion. By leveraging digital technology, we would like to promote various measures and create a digital space ecosystem. In order to promote the measures, we will focus on securing the talent necessary as well. So point number one. So like I mentioned earlier, by further expanding the customer base business assets and financing capabilities built over the years with the evolved ecosystem, we would like to fully leverage it. By expanding alliances and driving M&A both domestically and internationally, the SBI Group will build a dominant customer base. So how are we going to reach and achieve 30 million securities accounts? This will be our first target. The key is going to be reinforcing our existing alliances and approaching customer bases of various levels. This is very basic. And also, strengthening our overseas business foundation and response to tariff policies initiated under the Trump administration. That’s number two. Number three is the SBI Group strives to build a neo-media ecosystem that combines media, IT and finance. So to achieve 30 million securities accounts as early as possible, there are four things mentioned here. But as you can see here, these are the efforts we’re going to engage in in order to reach 30 million. We did the Zero Revolution, and we have a dominant amount of security accounts now in the industry. So we exceed 14 million already. Nomura is at 5.925 million, which is less than 6 million. So our growth rate, CAGR, is 13.5%. Every single year, our accounts have been growing at this pace. Nomura’s CAGR is 1.8%. Also, our market share has been expanding as well. It has increased this fiscal year as well. The share of individual stock trading value is 56.2%. Of its share of individual margin trading value, it’s at 59.4%. So when you add individual institutional investors, we are inferior to Nomura because Nomura is 21.8%, and we’re at 15.1%. When you look at Nomura, it has surged up, and institutional investors tend to be volatile, so sometimes we see fluctuation like this. So that’s the reason why. Achieve organic growth by expanding product lineup, continuously improving services and creating a safe and secure trading environment. We have A through E. So I’m going to briefly go through this. Expanding the lineup of investment trusts exclusively sold by SBI Securities. Putting effort into alternative investments is what I’ve been saying, and therefore from the U.K., there is Man Group. And starting off with our partnership, we have been engaging in other JVs like with Franklin, as well as KKR. So it’s because alternative is great, and it has improved this time around. The Nikkei went down by 4.8%, but alternative went up by 5.7% in performance. And net assets have reached ¥17.6 billion. Alternative products are not well understood and fund management is not well understood either. However, we are still at net assets of ¥17.6 billion. So we would like to market alternative investing even more in the future because market volatility is probably going to enhance. That’s what we predict. So because we are in these times, there are two ways to think about it. One is alternative products and number two is hedging. Investing into alternative and number two is hedging. For example, using the forwards market or the options market to do hedging to defend your investments. For Japanese people, they’re not really good at doing this for a long time. Actually, it’s not that they’re not capable. It’s that it was restricted. So I would like to say that it’s all about options, that you should do it. And I’ve been telling Takamura-san to do it for the last three years. That’s how much option trading is important. For South Korea, for example, there’s a lot of option trading going on. When I was in the U.S., I really felt that it’s going to be an options age. And after I went back to Nomura, to the corporate division, Kawashima-san knows well that I was able to make a lot of money out of options in my position, including swaps. So it’s a very important thing. It’s so easy. But why don’t people know and understand? I’m just amazed. It’s because the brokers have not enlightened customers about it. So we need to do more activities to have people be better educated on this. Quarterly distribution fund. I also invest into this. It was Asakura-san’s idea. So it starts from January, February, March until December. As long as you buy these three funds, mainly which are high-dividend funds, you will constantly be able to receive dividends that exceeds your investment costs. With asset building for retirement attracting attention on this topic, when the market starts to fluctuate, people start to become depressed. But now is actually the time to start iDeCo. From an early timing, we did corporate-type DC as well as iDeCo. So individual DC and corporate-type DC, we have been in this business from long ago. From 2017, May the 19th, we have made administrative fees for iDeCo completely free of charge. Reason being, 401(k) in the U.S. has grown so much and NISA has grown so much in the U.K. I’ve been watching these trends all along when I was in the U.S. and when I was in the U.K. because I lived there. I know what was happening very well. So I really understood the importance that we need to do this in Japan. So even though we had to start off as a loss-making business, I started it. And finally, it has turned into a profitable business, of course. For the individual defined contribution customers, we are the industry leader. And we have contract for difference area, which we see significant growth. CFD, from the end of August, we will begin as a new service. And I’ve been urging people to do this as quickly as possible. People are worried about the system, but I tell them to hurry. And if they say, do as I say, they will be profitable and it will be beneficial for investors. And I am confident about that, because I have been in this industry for more than 50 years. In U.S. and Europe, I have watched and seen those geographies as well. I have experienced more than anyone else. I think I can boast about that. So I say it. So just follow me and do as I say. There’s no way to go around it. So this is UI/UX. This isn’t something that we old guys shouldn’t do. We should just delegate it to the young people. And I’ve been telling Takamura about this to switch the development by younger generations because here’s me. This is how I use my smartphones. And you have people who are using smartphones in a completely different way, the young people. And you can just tell that just by looking at it from experience that they would do much better. This is response to phishing scams. Because of the increase in NISA, we have seen increase in phishing scams as well. We will thoroughly implement multi-factor authentication. We will implement any measure we can implement on the system to prevent this. So Mr. Takamura is working on this. We will take initiatives to achieve 30 million securities accounts. Let me give you more detail. So we will focus on selling new products for the digital age. So we have securities and bonds, which is of the Stone Age. That’s the end already. We need to shift to digital. So that is why in Osaka, I have created security token ST market, Osaka Digital Exchange. This is the first secondary market for ST in Japan for futures. For example, the rice futures, it has started in Edo period from the age of the eighth shogun, Yoshimune. And there’s someone who’s stupid enough to stop this futures transactions. We need to revitalize this. Because of this rice scandal that we have seen these days, if we have futures market and if we have the actual cash market, we would have not had this kind of a turmoil. But they’re talking about, JA and how it’s not being penetrating to the consumers. How much stockpile do we need to release until we’re able to reach to the consumers? These consumers are crying, screaming that there’s no rice. I’m getting all these different ideas as I listen to the news. In New York, I’ve been eating rice from the United States and it’s very tasty, I think. So ST market is growing gradually and we have bond market, real estate market, where we have utilized ST. So each company are starting off from real estate, but all the real assets, all the real world assets will be tokenized in principle. So the tokenized economy is a common sense, especially in the United States. You will begin to see that. SBI Global Asset Management Group is working towards offering digital asset-related products. We’re trying to leverage this as well. Why? Because the U.S. Treasury, which used to be considered as a safe haven asset, could become risk assets. I don’t know if it was China selling or I’m not sure if it was agricultural financial institutions that have been selling it off, but we have seen the markets plummet in the United States and interest rates rose sharply, the yield rose sharply, and Mr. Trump couldn’t stand this. And even in Japan, Mr. Kato, when he decided to implement this measure in Japan, and the next day I’m sure he got in trouble in the United States, so he withdrew that measure. But that’s not the way to go about in negotiations. This is cryptocurrency ETFs. In January 2024, SEC approved the listing of 11 spot Bitcoin ETFs in April 2025. The total AUM for these 11 ETFs surpassed US$1 billion or Japanese yen of ¥14.7 trillion. And we have seen listing in Canada, Europe, Hong Kong, Brazil, Thailand. Why not in Japan? FSA is slow. They should not be so complacent. We will be left behind. So post-2024, SEC approved the spot Ethereum ETF. And finally, we have our spot XRP ETF. The world’s first was approved by Brazil Securities Exchange Commission and began trading on April 2025. And April 2025, multiple XRP futures ETFs were approved by the SEC. And with regards to spot XRP ETFs, several asset managers have completed their application for listing. So that’s how the world is turning around too. So if we sat there and became spaced out, that we would be the end. And my end maybe is coming towards the end, and so I’m getting old, but I’m still working hard for Japan, for the Japanese investors, and also for the world. I am still working because I have that passion, ambition. How could anyone talk for two hours without looking at any of the script or notes? So I think the Japanese management, the executives really need to buckle their belts. This is Franklin Templeton. This is an asset manager that has an AUM of US$1.5 trillion. The CEO is a woman. She’s an excellent CEO, and we have gotten along well. So we’re currently preparing to develop collaborative products that incorporate digital assets, including security tokens, such as funds and ETFs, investing crypto assets. So Franklin has already, and this is subject to approval by Japan’s FSA, but Franklin Templeton’s listed Bitcoin ETFs and Ethereum ETFs will be launched and offered in the Japanese market. And we’re still preparing the investment trust incorporating cryptocurrency. Again, crypto assets should be positioned as an alternative asset. And what we see as a proposed product is Gold and Crypto Assets. We talk about digital Gold as Crypto Assets, so we have both types of Gold. The allocation will be 51% or more of the Gold ETFs, and then the rest will be, so 49% or less, in Crypto Asset ETFs, such as Bitcoin ETFs. So this is the product proposal. I think this is a good combination, very good combination. So another initiative to achieve 30 million accounts, expand open alliance based on, depending on existing alliances and collaborate with new alliances. So we have win-win relationships in and outside of the Group through open alliances. And we are already in discussion with different topics with multiple companies. So we will continue to deepen our alliances and this will lead to increasing customer base. So this is a win-win. And open alliance has contributed to the expansion of SBA Securities because of customer base. Number of accounts acquired, if January 2023 indexed as one, then you can see this line and bar graphs, 48.4%. This is alliance ratio. So this is a customer base generated from the alliance. It’s 48.4%, which means half is based on alliance. And we have multi-card strategy through open alliance strategy. So we have, Sumitomo Mitsui Card, Takashimaya Card, so altogether a total of seven credit cards for investment trust accumulation. And we have seen year-on-year growth of 28.8%, but amount accumulated through regular investment trusts. And we have ¥1,585, you can see number, I’m sorry, 1,585 number of accounts with regular investment plans. And now this is the multipoint ecosystem. Rakuten has had its own ecosystem, but we don’t want to be obsessed with just one card. We did discuss about SBI card, but we decided that’s not the way to go about it. We want to build a multipoint ecosystem. So we started with JAL Mileage points. We have Tokyu Point and we have PayPay. And we want to make sure that people are able to save points by opening accounts, buying and holding products. And then we also want to make it so that they can actually purchase financial products like V points and Ponta points. And the collaboration between SBI Securities and SMBC has really brought about a great result. SMBC has developed Olive. Mr. Ota, who has passed away, has put in a lot of emphasis on developing Olive. And the current CEO is also focused on this, and they want to really foster this, really make this bigger. So this is SBI Group’s passion, too, as well. Intermediary accounts via SMBC Group, exceeded 1 million accounts in March 2025. Monthly amount of savings set aside by Sumitomo Mitsui Card is ¥86.7 billion as the end of March 2025. So it is for sure contributing to our financial results, our earnings. So we want to continue to advance Olive. So in this initiative to achieve 30 million securities accounts. Fourth point is build long-term relationships with customers by reaching out to younger generation, many of whom are beginners or inexperienced investors. So like I said earlier, we will promote financial education and awareness building because even if we say options or futures, we will not be able to really advance it. So we need to truly do this. So whether in organizations, governments, businesses and schools, we will hold different educational seminars, more than 1,200 seminars cumulative. Mr. Asakura is jumping out and going to all these different places to speak at these seminars. Use of robo advisors. And we are offering SBI Wrap. This is a fully automated discretionary investment service utilizing AI. If you can look at AUM and accounts. So AUM on a year-on-year basis has grown by plus 50.5%. And Shinsei Bank as of the end of March has achieved already ¥58.6 billion. This is SBI Wrap and SBI Shinsei Bank offering. And we are able to work together with. So let’s go with FOLIO’s Robo Advisor. Why is it we’re able to do this? We have already demonstrated that there’s a favorable risk and return. This is topics. You can see return is lower than our ROBOPRO. Risk is higher. Here, this is risk. This is analyzed return. So risk and return are determined by this. So whether it’s investment or building financial product portfolio, the most important is relativity of risk and return. Basically, portfolio will be determined by how you decide on risk and return. Now, strengthening our overseas business foundation response to tariff policies initiated under the Trump administration. In Trump’s policy, I think the key word is building a global supply network for local production, for local consumption. So this is a global supply network for local production and local consumption. Whether it be a Japanese company or other companies, this is key. So in Southeast Asia, we can make this core and we can use Southeast Asian market as local production, local consumption base. In United States, it’s a very large market, so we can do local production and local consumption. Everyone wants to avoid China, but Chinese companies are actually shifting to other parts of the nation themselves. So this is tariff, the rates. FTPD President [ph] is coming from Vietnam. They’re crying. It’s 46% in Vietnam, the tariff is, and Cambodia is 49%, excuse me. So Cambodia is 49%, but labor is cheap. So many things are cheap. So when you consider this, even if you build production base, if you think about Asia -- Southeast Asia is an entire market, this could be positive. If China, if they impose this level of tariff, it will not be sustainable. Many companies will think that way, but because it’s Mr. Trump, once there’s a deal, he may actually lower it quite significantly. You never know. EU is, they have already signed a deal. U.K. has. They have basically left from France and Germany, and U.K. went ahead and signed a deal with America. So that’s how close they are with the United States. I actually studied in U.K., so I know how they work. Japan, even it’s labeled, it’s the highest priority partner in collaboration. I’m wondering what happened to Japan. I think Japan is naïve. I’m looking at this current cabinet, and I’m thinking they’re so helpless. And so 25% supplementary tariff is all for automotive industry. I’m not sure what would happen. The macro in Japan would certainly worsen. This is because among the 10 point -- ¥107 trillion in total export to the United States, ¥21.3 trillion, so about 20% of total exports is auto, that’s exports to the United States. And automobile accounts for over 30% of this amount. So you would say that automobile comprises about 60% of the overall export. And what about the impact of rate hike by BOJ? This is like United States, they’re not able to decide. We don’t know about Trump. We don’t know about -- they don’t know about the economy, so they’re not able to decide. But if they’re unable to lower the interest rate that they should, then they would definitely fall into stiflation. And Japan has continued to maintain as it is, even though they needed to raise it because they said, because of the economy and so forth. And this has caused yen to weaken, and then we have seen price inflation, and we can continue to see the situation continue. So the turmoil in the financial markets, I’m sure would happen as well. Even though we were saying from savings to investment, and we have seen that trend, there’s a possibility that we could go back from investment to savings. So in light of this situation, what can we do as a Group? So this is the current situation of SBI Group’s overseas business. From very early on, even from the tariff, I have decided to establish International Business Department Preparatory Office and launch this and transform this into the International Business Management Department. So that our management resources, which is primarily people or maybe products for overseas, we want to mobilize this in an efficient manner. And in the next three years to five years, we will generate pre-tax profit equivalent to 30% of the Group through overseas operations. And we will build a system for the optimal allocation of business resources held by the SBI Group, such as people, capital, technology, across business formats. And we will form an ecosystem which the Group’s competitive edge can be exercised. And as the management organization, gather diverse range of information from overseas operations. So this is how they will go about. So already we have SBI Royal Securities. This is a Cambodian securities which holds 65.29% in ownership We have already generated pre-tax profit of ¥58.5 million. We have SBI Thai Online Securities. The management wasn’t good, so we decided to replace it quickly. Because if they went on managing the company like this, because they have not been able to collect loans. Basically, this is the same as GMO. They are not -- the loss isn’t as large as GMO, but this kind of mistake is not allowable for me. So we decided to change the top. I’m not sure they’ve heard about it or not. But I think my way of managing the company is to be very clear and explicit about the responsibilities. And these companies are engaging in banking business overseas. So we have TPBank, 20% ownership. According to Vietnamese law, we’re not able to hold more than 20%. Market cap is already ¥220 billion. But we have about 20% of that. And pre-tax profit is ¥44.83 billion. Just in terms of dividend, we’re already receiving ¥2.92 billion in cash dividend. So extremely good. For SBI LY HOUR Bank in Cambodia, we have 70% and with ¥1.43 trillion. And SBI Bank in Russia, 90.74% ownership and with ¥3.7 billion profit. The Japanese companies withdrew from Russian market, but we remained. We stayed because we thought that we would see some opportunities for earnings. Non-bank side, the SBI Shinsei Bank or the other Shinsei Bank, their management did nothing but something wrong. But now, the things are moving in a positive way for UDC Finance Limited, ¥9.46 billion for pre-tax income. And in Australia, we have 19.76% in Latitude Group with ¥8.97 billion profit. If we operate them successfully with new management, things would go well and that actually has come around well. And they have good chairman and management, especially for this Latitude. LY HOUR SBI Insurance. So the 40% share of capital Insurance business with ¥34.8 billion. Initiatives to further expand the customer base in Southeast Asia, Vietnam, Cambodia, Thailand. Here, the tariff rates by country are very high. As I mentioned earlier, local production, local consumption, global network is now being built globally by Japanese companies as well. For example, Otsuka Pharmaceutical in Vietnam. They’re going to establish the plant for Pocari Sweat. And Ricoh, in October 2024, established a base for DX in South Asia in Malaysia. So the large companies, including Japanese ones, are making advancements. The investment in factories, the CapEx. And for that, you need fund. You need money. And that’s where we can find our work. Because the banks should follow this movement. And we have bases in different parts of the world. The companies are going more abroad. I think we are going to have another office in Hungary next week or in two weeks’ time. I’m going to have the dinner from Ambassador from Hungary. The Ukraine-Russia conflict is still going on, but it’s just a question of time. It will come to its end. And then Hungary is going to play a role as the basis for bringing in peace. In the past, when there is a war between North and South, Japan enjoyed the war, the profit war, the earnings coming from the war. So the same thing, that we are going to make another operational basis in Hungary. In Southeast Asia, we are already operating very broadly for financial area to absorb the needs for funding. So there are different business entities. Somewhere in May, we are going to put together all the other financial entities of the Group. And that will happen in Osaka. They can enjoy the Osaka exposition as well. And I would like to talk directly to them about strategies and tactics. Initiatives of the immediate priority, Middle East and the U.S. About Middle East, especially in South Arabia, we are making various business, the basis as you may have read in media. I think it is on Sunday. There’s this visitor who wants to talk with me, to dine with me on Sunday. And it is a visitor from the royal family. And the PIF, the Savvy Games Group, it’s a public investment to fund the subsidiary. 60% of the population are gamers in South Arabia. So focus on gaming, as I touch upon later. It’s very closely related to media. I will come back on that later. And in Asset Management area, as Asakura-san announced in various occasions, we’re not going to details, but we are going to the very first South Arabian investment trust fund. And also about 5-ALA, and this is the intraoperative diagnostic, the approval for brain tumors. The approval was obtained in Jordan. And using the 5-ALA, the brain tumor surgical operation will be conducted, and the blood cancer also sometime in the future. So here we are also looking at expansion. The initiatives in the U.S. Well, in the U.S., everywhere in the country, there’s already existing entities operating there. So it will be costly, we thought, to go into such market segments. But we decided to make a new challenge, especially for accelerator, like plug and play, the biggest in the U.S. or actually in the world. So this is the -- they start investment before EPE. And here we are going to make some investments to connect that with our PE Investment. And the reorganization of our business portfolio with a view to sustainable value creation on the mid-term. So we decided to sell part of the SBI Savings Bank stake to get the Global Life Insurance the stake. Even the Buffett in the 60s, the most successful investor, Jerry Tsai, they started to buy life insurance companies because life, the asset, is long-term. Their liability is long-term. And when you involve yourself in the Asset Management for the life insurance companies, it’s long-term. And the Global Life is one of the three major companies, life insurance companies, with about ¥13.9 trillion of total asset and about 20% of which we obtained. And the ¥66.9 billion is already booked as net profit. So 20% of it will come to us based on equity method from the summer in FY 2026. And in that context, the recovery, a collection of investment should happen to some extent because the growth has been steady. And even in the turmoil in Korea, we were not impacted very greatly, and we could exit from that turmoil. We invested ¥123 billion in SBI Savings Bank. And when we did it, there were lots of criticism. Some people said that it’s a stupid investment. But I thought that when it comes to banking business and if you operate it correctly, that you will not incur huge losses because of the illegal framework. It’s different from real estate. And if you stop making investments in real estate, for example, I thought that we can turn it around. And the NPA ratio was more than 51%, but now it has come down to 4.4% order. Actually, it went even further. It went down even further and we collected about ¥90 billion investment recovery. But, of course, we are attached to this SBI Savings Bank sentimentally. And we did some negotiation, and as a result, it will be 41.34% in the voting rights basis, and some of the executives will have it as well. And 70% of the economic interest will be held by us. We negotiated for that. So I think that this deal will not incur any losses on our part. Moving on to Solaris from Germany. It’s a digital bank in Germany. We obtained 88.88%. The Solaris is a bank established in 2015. When it comes to digital assets, I would like to build a global corridor, and it is in that context that we decided to make this investment. It might take some time to turn around this entity, but I am confident that we can do it. Now, SBI Group strives to build a neo-media ecosystem that combines media, IT and finance. I went to [inaudible] the conference, and I made a keynote speech. And we had a press conference the other day as well. Because of the Fuji TV, Fuji Television or Fuji Media groups, and Dalton recommended me to be the Director of the Board. And because of that, there was a strong reaction from the mass media and the requests to give interviews. Reluctantly, I gave an interview the other day, and in that interview, I talked about it. The background of my idea is as follows. It is irrelevant to the Fuji Television story, because in sum, the keynote speech, happened before what happened to the Fuji television. This is the area where we’d like to leverage our 30 million accounts to establish a stronger basis of the business. We need the media. And now I’d like to explain why I think that way. The hints for us reside in the U.S. When I was working with Mr. Sun, we were making some materials, documents, and we found time machine management. We encountered this word, time machine management. In the Internet world in the U.S., very advanced ones should be brought to Japan. And when that happens, we -- it is very probable that we can grow that business, because it’s something that has already grown in the U.S. On that assumption, various IT revolutions were executed by us. Media, IT, finance fusion. The hint here again was in the U.S. In the U.S., digital finance, the growth in AI technology development are happening at the same time in a very vigorous manner. On the media side, there is a trend, there’s a tide, and there’s another tide on the finance side. More specifically, the need to seek new sources of revenue beyond the advertising model or media companies entering the financial sector as part of the diversification of their business areas, or conversion of personal brands into financial assets through the increasing influence of influencers. When you look at the press conference of Mr. Trump, emceed by Caroline, on the front line there are influencers, not the major mass media reporters. Those influencers with the millions of followers, they are sitting on the front row of seats. And the deregulation of the financial market and the deregulation is to be advanced more under Mr. Trump. And on the finance side, there are so many people participating in the market. We are a group alone of 14 million people, and we would like to make it to 30 million. And 53% to 54% of the financial asset is in bank accounts. Japan is really an exception in that context. And proliferation of investment information via the Internet. On the Internet, through SNS, new information is shared. And this Internet-based information, some of them are not very solid, but there is no skew to certain types of information. When you look at newspapers, you read almost always the same thing, whichever newspaper you read or even on television as well. That means that the journalism is disappearing from Japan. Because in -- when it comes to real journalism, you have to have a very clear-cut argument or express your thoughts. And so when it comes to Wall Street Journal or Financial Times, there is always signed by the writer, by the author. That’s the way it should be. If not, well, some people say that the government’s information will be shut out. But if that’s the case, then you can distribute your own idea and information by yourself. You need to do the way you think is justice. I think that way. I think it’s because of right thing to do. You should not be afraid of expressing your idea. And the breakthrough of the crypto asset market, and the rise of DeFi, emergence of non-fungible tokens, and development of the security or ST market. So the tide or trend on the finance side is digitized more and more, changing the world. And it is happening on the media side as well. In the U.S., media companies, financial companies, financial institutions, I have been following those companies. For example, Robinhood, that is the first company, first security firm with free of charge or no commission operation. And in 2019, Robinhood acquired MarketSnacks. It’s a market information startup. And they also started the Robinhood Snacks, their own economic newsletter. It’s about media operation. And as of June 2021, the registered readers of the magazine reached 36 million. So they’re growing at a monthly pace by 10% on a monthly basis. And now they are one of the largest news media in the U.S. I want to establish joint venture with Robinhood in the securities world. But then they said that it should be the virtual currency, cryptocurrencies. And I gave up on that idea because back then, because of the legal framework, it was impossible to do that in Japan. And in 2023, Robinhood started Sherwood Media, that is financial media, and also in the area of newsletter and podcast. The podcast is talk shows, interviews and other audio content distributed via Internet. And they started to distribute business news using newsletter and podcast. So no one reads the key media and they are attracted to this type of media now. And when it comes to Snacks, they offer money-related information in a lighthearted style with an element of entertainment to suit the culture of younger audiences. Actually, eToro, in May it will be launched. I think at least it will be ¥4 billion value. We have a certain amount of shares in eToro. And another idea to make a joint venture with eToro. And so we are now on the waiting mode. But they are very interested in making a joint venture with us. And as to Robinhood, they are going to start the virtual currency. We are doing it, and also we are dominant in the stock market. That’s important. That’s why it will be significant when we develop the business ecosystem. For the M&A side, they visualize data. Data should be visualized. And for that, the acquisition of Chartr. And also there’s a plan to publish print magazine. Morningstar, at an early stage, Morningstar itself was an information entity. And we made a joint venture very early. And equity newspaper, equity-related newspaper. With Asakura-san, we talked about the acquisition deal. And we thought that the print magazine will not survive. Well, I should -- we still have some information on the web and it remains popular. So we have been doing similar things at a very early stage. This is the example of Blackstone. The other day we started discussions with Blackstone as well. So Kevin Mayer and Tom Staggs, the former Disney executives, established Candle Media and Blackstone bought this company. Japanese critics are not interested in the fusion of finance and media, digital and the media. And we heard some stupid comments on the internet. That person obviously did not understand the importance of this kind of business opportunity. IP, the Private Equities. More than 2,300 companies were invested by us. Internet company and so on. Especially biotechnology. IP is the very key for survival. This media IP is the same. That’s why when it comes to Blackstone, TV, newspaper, radio, digital content distribution platform, into these companies they have been investing. One of the largest alternative investment are the companies. That’s what Blackstone is about. And I started discussions with them for potential tie-ups with them. This is the list of the acquisition of the companies through Candle Media. This diversified line of companies and businesses. And now here it says the CoComelon, which has 190 million registered users. So one of the best, the strongest IPs in the world. Hypnosis Songs Fund. They acquired HSF at ¥1.6 billion and delisted the company. It has the pieces of very famous singers as well. It is important for users to use it with some fees. With some charges. Such alliance tie-ups are in my thoughts as well in various areas. MechaComics, the operator, leading e-comics distribution service company in Japan, one of the largest, acquired InfoCom, operator of MechaComics, at ¥280 billion. Fortunately, as I’m going to touch upon later, we might be getting some opportunity for big profit. I’d like to make investments in the good IPs like Contents Fund in the order of ¥100 billion. That’s part of my idea as well. And the BookTok movement on TikTok is to discover undervalued independent authors and literary works to support their adaptation into films and TV broadcasts. So, undervalued, the works which are not so appreciated, including my own works. I wrote 60 books, actually. My philosophy and ideas, thinking over the past more than 20 years, have built this size of the Group, the operation. So my books should sell more. And some people advised to make an interview type of literature. And then they thought, we -- they think that it will bring about 10 million followers. But I do not want it to be busier or the Hosokawa Ryugen or such types of interviews or -- when we think about Mr. Trump, you are fired. Some people think that it would be a good idea for me to say something similar. It might be valuable. This is the case of Goldman Sachs. So, the Goldman’s analysts, our own analysts discuss market trends and economic topics. But we have our own analysts at SBI Securities, and we have lots of content. As I’m going to talk about more in detail. And also expand the customer base by helping to improve the financial knowledge of the general public. It’s very important. JPMorgan Chase’s case is here. I actually was surprised, but was amazed. But they acquired a restaurant review site, The Infatuation. I was wondering why back then. That was in September 2021. From then on, they continued to expand. And finance-related or daily life-related followers continued to be added. They were able to convert customers into their customers. This way of thinking is something we need to also have. Because people don’t get it. They just say, we should have more commercials airing. That’s ludicrous. From my point of view, they’re over. I’m 74 years old. But I wear a CPAP device, sleep for about four and a half to five hours. But I’m typically reading something. And I never forget for a while what I’ve read. You need to train your brain. That’s very effective. And I discovered something even better lately. But please look forward to it. I can’t give it out that easily. Myself and Takamura-san happened to come across it. And Takamura-san is currently running a POC. He says it’s good. I don’t get it yet. Takamura-san discovered or tried it out this thing. And he’s saying it’s good. Myself and Kawashima-san do not really feel the impact yet. A blood test. Myself and Kawashima-san have standard range blood levels. So we don’t have anything happening to our blood. So maybe that’s the reason why. But I’m really interested in slowing down the development of aging. So if it’s aging related, I often read a lot of papers about it. Whether it be in Japanese or in English. So Chase Media Solutions was launched in April 2024. Leveraging a customer base of over 80 million people and transaction data. They started to provide a platform to enable advertisers to reach target customers more accurately. I give them my full respect. They continue to become increasingly advanced. They’re putting all of these things into practice. Looking at Elon Musk, he is a genius of all geniuses. Falling in love with another guy is this example. I think he’s amazing. He does Tesla. He goes to space, comes back. He launches rockets. And now AI, finance. He’s trying to come up with a comprehensive platform. And he also partners with eToro. And he also established xAI. And an AI chatbot Grok by an AI startup, an xAI, is going to be -- has been implemented. So he’s been spending an extraordinary amount of money. And he also announced a partnership with Visa and rollout of digital payment services. And implementation of P2P payment link to debit cards. Implementation of real-time deposits, withdrawal options to and from bank accounts. So think about the penetration effects in Japan already. We need to hurry. Well, Abema is working really hard. But they have just turned profitable, Fujita-san’s company. I think he was courageous to advance into that area. But every morning, I’m always watching Netflix in the morning while I’m walking for 3 kilometers. And looking at all these types of movies on Netflix, you should look at the production money. They’re investing so much and they’re still profiting that much. So it’s really hard to compete against them, against Netflix. But Japanese people need Japanese contents. But Netflix has Japanese content as well. And by steadily making effort, we need to also come up with our own contents. That’s how I feel. High synergy between media and AI has already been shown. Supercomputers, xAI, which runs the world’s largest AI training supercomputer, Colossus, which, with over 100,000 NVIDIA GPUs, announced the acquisition of X. So why does the SBI Group have strategic strength in operating in the neo-media space? Because I don’t want to compete to lose. I wouldn’t go there if I knew we were going to lose. But for this space, I think there is a possibility that we won’t lose against others. Because the SBI Group has access to the highest quality and quantity of financial data in the country. So based on the financial data, we’ll be able to support the provision of highly targeted content and advertising. So up until now, long ago, when I used to be at SoftBank, I went after TV Asahi’s shares and to Kobunsha. Son-san was in the U.S. I told him, you were talking about your interest in media or that you want to become an entity. I think it’s very good strategically. So all you have to do is pay the money and I’ll try to engage in the efforts. He agreed. So we went after TV Asahi’s shares at one time. So we secured the shares and on satellite TV, Mitsubishi Corporation and CCC, which is Culture Convenience Club, they were talking about doing satellite broadcasting. We changed the arrangement so that SoftBank and Rupert Murdoch can partner instead. And what determined this deal was the TV Asahi stocks. Because Mr. Murdoch back then was saying, contents is king. So it all comes down to content. Even back then, I have been a strong believer that contents is king. Then after, together with Mr. Murdoch, he bought the Wall Street Journal. Then after, he set up Wall Street -- I persuaded him so that we can set up Wall Street Journal Japan and TV Asahi shares. Back then, all the media got together so that they can bash SoftBank. And personally, the original motive I had in going after the shares was, 60 years there was exclusive sales in Osaka for Asahi newspaper, and I didn’t want the stock of TV Asahi to go elsewhere to the wrong holder. That is why we wanted to own it. However, we persuaded -- we were persuaded ultimately for Son-san to let go of the shares. And back then, together with Mr. Murdoch, I thought as long as we’re able to do satellite TV, even though we had to let go of the shares, that would be fine. Even if we sell the shares, I thought that Mr. Murdoch will not go away. And then Fuji TV, Sony, can join so that -- and that is how we established the satellite company together with them. So I actually have a relationship with the media. I have a history. Well, Sankei properties are being done by Ijima-san. So due to the connection I had from the satellite broadcasting days, I got to know him. As the world’s rare comprehensive financial distributor with a customer base of 54.42 million, being a distributor is important. And together with originators, we have a distributor not just for finance. We have the strength to spread information on various fronts. Digitalization of all information through digital space ecosystems and diffusion through digital channels in addition to analog channels. We could spread various types of information. And if it’s true or fake, AI can decide it by creating that mechanism. And AI is capable of doing so nowadays by implementing the most advanced technology. Without skew, various types of information, all types of information should be delivered to people so that they could make the right decision, whether they be investors or consumers or the general public. That is what I would like to realize. So that’s my motive behind this. And then incidentally, the thing about Fuji TV emerged. 20 years ago, I was a white knight in creating Kiera-san [ph], in saving Kiera-san as well as Fuji TV in a sense. But that investigation report, I read it. I went through it. I spent quite a lot of time because it was really thick. And I was super mad. I was furious towards the Hieda administration. And I really felt determined that I need to change what’s going on. And I really thought that was the thinking of God. Because I had this immense idea, and then suddenly the thing about Fuji TV occurred and emerged. And Dalton approached me and asking if I was interested to become a candidate. And with Murakami-san, I was able to establish connections with him through Shinsei Bank. So in various forms and ways, I was able to establish these connections. And SBI LY HOURS, they own 5% of shares. I really thought this was a divine will. It was a divine will saying that I need to do something about the media industry. And by -- I don’t watch TV at all because the content is ludicrous. For NHK, I had the opportunity to -- I sometimes watch certain programs on NHK, but that’s about it because the other programs are ludicrous. Sorry to say. The quality of the commentators are very low. I would like to question them, what they’re studying. That’s the kind of impression I get from many programs. We -- regarding financial data, we boast the best quality and volume because we cover various fields. We have so many groups of companies and they are generating various pieces of information. And we are able to provide advert -- we are able to support advertising that is extremely targeted and precise and utilizes big data. We are capable of doing that. We already have a customer base of 54.42 million. We are a rare world comprehensive financial distributor. Regardless of whether it be finance or not, we are able to spread information. Whether it be comparison sites, InsWeb that operates information and comparison site for insurance products, and e-Loan, a comprehensive loan site and SBI Insurance Labo. We already have these things that you can call media. And also, Japan’s largest media outlet dedicated to securities, Kabushiki Shimbun, is operated by SBI Global Asset Management. And for video, YouTube, TikTok mainly. We have video channels, many of them, focused on investments. So, by integrating these together, we would like to create an SBI Media company. Irrelevant to the Fuji Group, this is my idea that I always have been thinking about. By creating an ecosystem, we would like to digitalize all types of information and distribute it through analog channels, as well as digital channels. This is what I’ve constantly been talking about. But the Divine Will also had other intentions, asking me to reform Japan’s broadcasting industry. So I think that was a mission that came upon me. That’s how I interpret it. Overview of the neo-media business by the SBI Group. It’s not just Fuji TV. We contribute to regional revitalization through collaboration with regional newspapers and local stations, in addition to regional financial institutions. It’s people, products and money. Get them all together to revitalize regional cities again. On top of regional financial institutions, we need to have integration and partnerships between the local municipalities and so forth, and the local broadcasters. The local stations are relying on the key stations, but if the key stations are unstable, they won’t be able to do anything about it. Ad spend is declining. And a lot of people are going to online instead of TV, so half of them are reported to be in the red. So I do believe that we can extend our support. Through owning IP together and offering funds, we can establish a mechanism to reflect the high content production capabilities. SBI Group’s strength in people, goods and money, with the media’s coverage capabilities, by combining them together, we could build an unprecedented new media ecosystem, thereby contributing to regional development. Unless we do this, regional broadcasters or stations will probably go out of business. So we need to change what’s happening. Establish a new Content Fund focusing on the media domain. From a minimum of ¥50 billion to ¥100 billion sized fund is what we would like to establish. And we would like to selectively invest in companies with leading IP. In the past, for a Contents Fund, I actually set one up in the past. Fuji TV. I made it so that we can see Fuji TV from the acquisition by Horiemon, Livedoor. And I think that was a mistake. Looking at the investigation report, I really thought I made a mistake. In the Contents Fund, it will be a new Content Fund and we would like to focus in the areas of games and anime so that we could create global IP. And the IP held by the fund will generate synergies with the SBI Group’s Finance business. We’re thinking about a variety of things. And we’ll have an open alliance strategy and have partnership with the Contents Fund so that a neo-media ecosystem can be established. Existing business assets will be effectively utilized and funding will be done in order to make growth investments in the future. So this is something different from what I was talking about so far. First is about SBI Shinsei Bank. When we acquired the entity, I was saying that our Group’s great cause is to do the repayments of public funds and to gain visibility into the repayments. Because it was left alone. It wasn’t being done. Public funds were not being repaid. So we wanted to ensure that we create a pathway for repayment. So I’ve been thinking about this all along. And we’ve already, for SBI Shinsei Bank, repaid ¥100 billion of public funds in accordance with the Agreement of Definitive Repayment Scheme. Until we acquired the company, this was left alone. They were looking like they were okay and not making the repayments. So for the rest, we would like to ensure that we quickly are able to gain more visibility into the pathway for repayment. And for SBI Shinsei Bank mainly, and with other banks, we would like to promote the Fourth Megabank Concept. Under the leadership of Kawashima-san, they are making huge efforts. And for the management plan, they have been able to substantially outperform the target that has been set. For example, for customer base, we were seeing ¥3.8 million. But as of end of March, we were already at ¥3.87 million. But the achievement date was March 2025. We are already here. And for financial foundation, and for earnings capacity, and financial soundness, all of them were exceeding in this way. So for SBI Shinsei Bank, today, or it says here, May 9, they have announced a new medium-term management plan. This needs to be changed. It doesn’t have to say today, but they announced a mid-term management plan. And this is how it looks like. For fiscal 2024 results, we’re already here. Also, the Agreement on Definitive, based off the Agreement on the Definitive Repayment Scheme, the entity repaid ¥100 billion in public funds. If we didn’t acquire them, under the Kudo administration, probably they wouldn’t have made any repayments. We already, after they have joined the SBI Group, ¥119.3 billion worth of repayments have been made. The remaining ¥230 billion, we are trying to have it returned or repaid as quickly as possible. And we are devising various measures to achieve prompt and full repayments, such as dynamic management in response to the business environment. And for the voting rights share, we are trying to increase, we have been making efforts to increase our voting rights share so that we can own it in our Group. We would like to thoroughly pursue synergies with the SBI Group to achieve dramatic growth that SBI Shinsei Bank could not achieve on its own in order to further increase corporate value by generating synergies. A unique global ecosystem has been established. So amongst the entities, we would like to evolve together and generate synergies together as soon as possible. SBI Shinsei Bank and SBI Group companies have already been creating many synergies, which is worth ¥721.7 billion, comprised by 223 deals already. SBI Shinsei Bank and SBI MONEYPLAZA completed the joint branch integration for all SBI Shinsei Bank’s retail branches. SBI Shinsei Wealth Management AUM has reached ¥288.8 billion. Also, from the onset, I had been thinking about the Fourth Megabank Concept. I didn’t really talk about it before we started implementing the measures, but under the leadership of Kawashima-san, the SBI Shinsei people, as well as our Group people have come together, and on a Group-wide basis, we are starting to achieve this target of becoming the Fourth Megabank. Regardless of capital relationships, we are seeking to establish a wide-area regional platform with the SBI Shinsei Bank within the SBI group at its core by pursuing the benefits of improvements in efficiency and the expansion of business scope through wide-ranging collaboration between the SBI Group and regional financial institutions nationwide, supporting the resolution of overbanking issues in Japan by promoting the reorganization of regional financial institutions and pursuing economies of scale to evolve them in a healthier way. SBI Group already has various alliances with over 100 regional financial institutions nationwide. Study expansion of cooperation with regional financial institutions, particularly in corporate lending, which is SBI Shinsei Bank’s strength. We already are collaborating with 93 banks. The SBI Group strives to make further efforts to strengthen the profitability of regional financial institutions as part of the promotion of the Fourth Megabank Concept. We have A through G, and I’m not going to each and every detail. We don’t have enough time, so I will skip. However, one thing regarding a large reform that we did was this, switching huge system costs from fixed to variable costs seven years to eight years or in 10 years. The system integrators told us that, tell you that it wouldn’t last unless you cut over to a new system. So we wanted to make the fixed cost to a variable cost, and I think this was revolutionary. Just to go through the key points, so switching huge system costs from fixed to variable. There are some banks that you get worried about when you look at their ranking, but we are starting to see circumstances where they are drastically changing. For example, Fukushima Bank was not that bad in performance, but they introduced the cloud-based accounting system, the core system, and they were able to prove how effective the new system was. Study increased the number of regional financial institutions and other companies entrusting securities management to the SBI Global Asset Management Group. We are seeing steady increases. We need to elevate investment management. Regional Revitalization and Japanese High Dividend Equity Fund is to be launched for regional financial institutions. These kinds of funds will be set up as well. And SBI, we are entering the mortgage guaranteed business from April. Shinsei, Holding and ARUHI will come together for this business. So from regional to nationwide, if you look at the case of Shimane Bank, they have the smartphone brand called Shimaho with a deposit surpassing ¥60 billion. And from January, they started disseminating information on local products of Shimane Prefecture. So each of the banks are beginning to implement measures like this. So these are the domestic SMEs facing succession issues. We will contribute to improving the regional financial institution management environment through investment in these domestic SMEs. And we want to establish a third succession fund exceeding ¥50 billion given the fund total of Japanese to ¥100 billion. So we just have just a little bit more to go and we will reach ¥100 billion. And by the way, business succession number one was ¥10 billion and succession number two was ¥31.2 billion. And we have establishment of joint fund by SBI Group. So we have many initiatives like this. And SBI Group’s investments have entered the harvest phase from centered investments in advanced technology areas since around 2015. We were talking about this earlier. But PE Investments are achieving great results with some flagship funds entering the harvest phase. They’re investing in cutting-edge technologies, SBI Digital Space Fund. So for example, flagship fund, fintech fund, basically is expected to be top performer among the venture capital funds projecting a distribution of paid-in capital multiple in excess of 3. You will see SBI Digital Space Fund to be invested at around ¥100 billion. Investment will begin. Where would we be focusing on? Preferred networks, a company, and so many investees in Japan and also outside of Japan. And we have many companies in SBI Group’s investment portfolio that have potential for huge returns It’s been a long time since we have invested in a company called Ripple, maybe 10 years. So what is happening to this investment? This is now generating enormous amount of profit. XRP is a currency issued by Ripple. Market cap right now, so XRP is circulating in the market is about ¥20 trillion now. So this is ¥58.55 billion XRP which is equivalent to ¥20 trillion in market cap. And there are still currently Ripple’s holdings that are not in circulation. That’s still under escrow. This is how much. It’s right here. This is holdings that are not in circulation. So the maximum is ¥100 billion, excuse me, ¥1000 trillion XRP. So what would happen to that? Excuse me, ¥100 billion. So we have about a little less than 10% of the equity stake of Ripple. And aside from that, we have joint ventures with Ripple called SBI Ripple Asia. Creating a digital space ecosystem to promote various initiatives utilizing digital technology. We will steadily expand its customer base centering on crypto asset exchanges. We have SBI VC Trade which is increasing its presence as a domestic crypto asset exchange. DMM Bitcoin. We have received transfers of all the accounts in AUM from DMM Bitcoin. We have around ¥400 billion in assets under custody and ¥1.27 million in accounts. So if you look at the cumulative or total deposit balance of VC Trade in Bitcoin, it’s approximately ¥580 billion. So in this way, cryptocurrency and crypto assets, we have made great outcome and steady progress in this area. With regards to staking service, we’re performing very well. Staking is a process of earning rewards by participating in generation approval blocks and supporting operational block network which adopts a proof-of-stake mechanism. So this is the staking service. And we are partnering with U.S. Circle Internet Financial to distribute dollar-pegged stablecoins in Japan. We just announced this recently. Dollar-pegged stablecoins excel in all aspects of value measurement storage and exchange. USDC issued by Circle is one of the world’s largest stablecoins compliant with regulations. Establishing a joint venture with Circle to promote the adoption of USDC in Japan. Dollar-peggedstable coins. So it has digital convenience. It has a global nature as a key currency and it has high compatibility with Web3. So it’s a dollar-pegged stablecoin. It’s also high interest rates. So we will start on this. And this is USDC. It is the largest of the world compliant with regulations. And so they’re number seven in terms of market cap. Tether has a lot of issues. So that’s why we prefer and recommend USDC rather than Tether. So we’ve established a joint venture with Circle to promote adoption of USDC in Japan. So we have established SB -- Circle SBI Japan and SBI Circle Holdings. March 18, 2025 signed. Number three. Focus on securing the talent necessary to advance our strategic initiatives. We have at the end of March 2025, 19,156 employees. New graduates hired. Accumulative end of March 2025 is 598. At the beginning, we were only hiring 43 new graduates. So we have 19,156. And why is it 598 new graduates? Majority of them are mid-careers. So basically, we will, you know, hire people who have substantial or a certain level of amount of financial knowledge because otherwise, they will not be able to catch up with the growth if we had to try to educate from scratch with the new graduates. So our focus is also on global talent, especially when we want to go abroad. So there are 39 companies at the end of October 2024 and we have 374 employees at the end of October 2024 in terms of global talent. 278 have been hired in Japan and 96 hired locally and we will continue to increase hiring overseas. And if you want to hire good talent, you have to pay them well. So we have decided to enhance the employee compensation quite substantially. We will raise their salary approximately 10% on average from April 2025. So anyone who has received above average valuations and also envision a new graduate starting salary will raise by 13.3% from ¥300,000 to ¥340,000. Can you believe it? ¥340,000 for new graduates. And this is the pay table for the first three years. We will raise them by 10% across all levels. And for high performance talents, we will also pay them performance pay bonuses. And from the fourth year, employees have the opportunity to be promoted to manager of roles. So anyone who has strong capabilities and also good personality, we will continue to give them good posts, higher posts. That’s our way of thinking. And performance-linked compensation system reflecting the Group’s consolidated business results will be introduced to all existing employees and we will cultivate promising talents by leveraging the resources at SBA Graduate School. So this is the graduate school. We’re finally able to foster our resources. And in order to improve mobility and development and training of human resources, we have converted Mynavi to Equity Method Affiliate in November 2024. So in terms of hiring and also dispatching employees, we will have Mynavi collaborate and cooperate with us in different ways. And they also have benefits that they will be able to reap by collaborating with us. Yesterday, I told the HR Division, don’t use other HR company. Use Mynavi first. And if you’re not able to find a talent, then you use other companies, but prioritize Mynavi. That’s what I said. Why is it that we have 20% stake in Mynavi? This is still unlisted. We need to increase their corporate value. Otherwise, they need to be profitable in order to become more value. And they need to contribute to us and we need to support them. Don’t you understand a simple logic like this? So that’s what I said to the HR Division. I scolded them. And we will thoroughly enhance the recruitment of top global talents. Otherwise, we will not be able to catch up with our overseas development. We will fully utilize SBI Graduate School. We have different training programs, education programs. Especially, we have a Generative AI program, which we would continue to encourage people to take. We need to improve their DX literacy thoroughly. So this is what I say to them on a day-to-day basis. So this is basically what I wanted to speak to you. Two hours and six minutes. So I will be happy to take questions. I won’t be answering all the questions. That’s too much work. We have my team here, so I will have them also answer the questions. So I’ll open the questions.
Q - :